Operator: Ladies and gentlemen, thank you for standing by. I’m Yota, your Chorus Call operator. Welcome, and thank you for joining the Symrise Half Year Results 2017 Conference Call. [Operator Instructions] I now hand over to your host of today’s call, Mr. Tobias Erfurth. Please go ahead, sir.
Tobias Erfurth: Thank you, Yota. Good morning, and everybody, welcome to our analyst and investor call for the occasion of the publication of our H1 report 2017. With me are our CEO, Dr. Heinz-Jurgen Bertram; and our CFO, Olaf Klinger. All documents have been published this morning on our web page at Events and Presentations in the section Investors. In the same area, you will find the playback of this conference call in the course of the day. After the presentation, we are open for your questions. I will now hand over to our CEO, Dr. Heinz-Jurgen Bertram. You may begin.
Heinz-Jurgen Bertram: Thank you, Tobias. Good morning, everyone, and thank you for joining us for our half year’s results. Olaf and I are pleased to share what we believe is a strong set of results with you today. Let us get started on Chart 2. In today’s session, I will give you an overview of our overall performance in the first six months, before Olaf will walk you through the financials in more detail. As always, we will provide an update on our most recent strategic initiatives followed by the outlook. One important point before we get to the facts. You will already have seen from our press release or presentation that we have recently reviewed and streamlined our reporting. We have decided for the sake of clarity to differentiate between organic growth and growth in reporting currency on group level from now on. Organic growth refers to sales growth in local currency, excluding portfolio and acquisition effects. For the regions, we disclose sales growth in reporting currency only. Let us get started with our highlights on Chart 4. I think the headline says it all. We have once again outperformed the market and delivered industry-leading growth. Symrise had a successful first half year. We have increased sales by 3.6% to over €1.5 billion. Adjusted for portfolio and acquisitions effects, we recorded very dynamic organic growth of 5.2%. Once again, we kept our profitability on a high level. Our EBITDA came in at €323 million, and our EBITDA margin reached an excellent 21.3%. Net income for the period was €142 million with an EPS at €1.09. As you can see, we have seen quite some positive change in our cash flow. It went up by 75% and amounted to €175 million in the first half. Overall, we managed further strengthening our already very stable financial position. In this context, we used the favorable market environment to successfully issue a convertible bond. Not on the slide, but worth mentioning, since it fully pays into the implementation of our strategy, we acquired Cobell at the end of May, the leading supplier for juice compounds in Great Britain. More background on this in a few minutes. Let us turn to Chart 5 for more details on our sales development. We are very happy with the growth dynamics of our business in the first half year. We delivered continued solid growth and remained at the forefront of our industry. Growth was achieved across all our segments and regions. Organic sales went up by 5.2% to €1.515 billion, which corresponds to 3.6% growth in reporting currency. Please keep in mind that the net effect reflects several portfolio adjustments, namely the sale of Pinova Inc. And the acquisition of Nutra Canada and Nutraceutix. A quick view on the regional sales development on Chart 6. The highest growth rate in this first six months came in from Latin America, with a sales increase of 12%; followed by EAME with an increase of 4%, North America and Asia/Pacific delivered solid growth of 2% and 1%, respectively. Let me stress again that these growth rates are provided in reporting currency and not in local currency. The share of sales generated in emerging markets amounted to 43%, with overall sales growth in these regions of 5%. Chart 7 shows a bridge analysis of our sales in terms of organic growth, portfolio and currency effects on group level. Organic growth contributed €76 million year-on-year on group sales. The previously mentioned portfolio effects had a negative impact of €34 million, which corresponds to a decrease of 2.3% of total sales. After several quarters of heavy fluctuation, currency effects returned to close to normal. This led to an overall sales increase of 3.6% to €1.515 billion. Concerning FX. Looking at an environment of an increasingly strong euro, we expect again some headwinds in the second half of 2017. Let us now turn to Chart 8 for a sales breakdown in Scent & Care. Scent & Care recorded sales of €638 million in the first half year. We saw good growth in Fine Fragrance and Cosmetic Ingredients. This was offset by weaker demand in Beauty Care. The bridge shows that organic growth of the segment was 1.1%. Reported sales were clearly impacted by the Pinova divestment. Including portfolio and currency effects, this resulted in a decrease in sales of 4.4%. On this occasion, I would like to make a few remarks with regard to Scent & Care. First, Scent & Care was up against strong comparables. Second, the integration of Pinova is successfully completed, and we see now the progress and the process improvement coming through in the second half. Finally, while performance in Beauty Care lagged behind in the first half, we are optimistic for the remainder of the year. We have a good product pipeline, and we signed several core listing that will pay off in the near future. The Flavor segment on Chart 9 increased sales in the reporting period by 7.2% to roughly €565 million. Organically, growth amounted to an excellent 8.6%, which translated in a plus of almost €45 million. Segment growth was driven by strong demand for sweets and new business in beverages. Application for savory also benefited from an increase in order intake in particular, in Western Europe and North Africa. Let us turn to another strong segment in the first half year on Chart 10, Nutrition. Nutrition stayed on its very dynamic growth path in the first half. Sales increased by an outstanding 16.3%, boosted by strong organic growth and the acquisitions of Nutra Canada and Nutraceutix. Organic growth alone contributed to almost €24 million to total segment sales. The strongest dynamics came from applications for pet food, which increased sales in the double-digit percentage range. Growth was also driven by high demand in Diana Food, in particular, in North and South America. Ladies and gentlemen, before I hand over to Olaf, there are just a couple of points, which I would like to highlight. I think the previous slides have shown that we performed well in the first half year, especially if you consider the high comparables. We are aware that Scent & Care performed not as strong as the other segments. However, our growth drivers are fully intact. We've done several investments and have one important core listings. These will further drive growth on the segment in the upcoming months going forward. With these remarks, Olaf, the floor is yours.
Olaf Klinger: Yes, thank you, Heinz-Jurgen Bertram. Ladies and gentlemen, a warm welcome also from my side. After Heinz-Jurgen Bertram has walked you through the sales performance of our company, let's continue with the earnings development on Slide 12. Half year 1 2017 EBITDA of the Symrise Group came in on prior year level at €322.9 million. With 21.3%, the EBITDA margin was again fully in line with our short- and long- term guidance of 19% to 22%. The strong performance of our Flavor and Nutrition segment have contributed plus €3.1 million and plus €8.3 million, respectively, in comparison to last year, was offset by minus €11.8 million EBITDA impact in Scent & Care, mainly related to the divestiture of Pinova Inc. as well as the aforementioned more demanding business environment. EBITDA margins for the segments remained on high levels, although slightly below prior year figures. In Scent & Care, because of slow organic sales growth and higher investment in R&D, in particular into new core list wins, last year's normalized margin of 21% could not be achieved. Scent & Care reached an EBITDA margin of 20.1%. Flavor stayed with 22.2% after 23.1% in half year 1 2016 on a high and healthy level. Nutrition reached an EBITDA margin of 22.2% in half year 1 2017 after 22.8% in half year 1 2016. The decrease compared to the prior year period follows our diversification strategy beyond palatability, with investments going into R&D as well as sales and marketing. Furthermore, we continued our regional expansion in Diana and incurred some ramp-up costs for new Diana Food plant in the U.S. Heinz-Jurgen Bertram will come back to that later. Let's look at the P&L on the next Slide 13. Our gross margin remained nearly stable at 41.4% versus the normalized 41.9% in half year 1 2016, reflecting the robustness of our business model. This is good proof of the well- balanced portfolio we've always mentioned in connection with our 10,000 raw materials and 30,000 products. While we managed our 3% to 4% raw material headwind quite well, we experienced some meaningful negative transactional foreign exchange effects, which impacted our cost of goods sold across all 3 segments. This is related to the fast and substantial euro strengthening in quarter 2. In line with EBITDA, our EBIT remained stable at €224.6 million year-on-year. The EBIT margin reached 14.8% after normalized 15.4% in half year 1 2016. The financial result was slightly below half year 1 2016 mainly due to FX gains the prior year period. For the first half of 2017, our tax rate was at 27.9%, slightly better than the normalized tax rate of 28.2% last year and well below our long-term expectation of a less than 30% tax burn. Net income came in at €141.8 million, and earnings per share amounted to €1.09 for the first half of 2017. Let's now turn to Page 14 for the cash flow analysis. In H1 2017, we saw a strong increase in operating cash flow, 75% to €175 million compared to last year. The improvement was driven by working capital optimization as well as less income tax payments. Investing cash flow declined from €230 million last year to €85.7 million, and this was driven by prior year M&A activity and prior year comparison. Please turn to Slide 15 for the review of our balance sheet. Overall, total assets increased by 3.4%. The increase in cash was driven by the issue of the convertible bond in June. We already paid back one bank term loan by the end of June, and we will redeem the outstanding eurobond 2010 in October of this year. The equity ratio, including minorities, slightly decreased from 36.4% to 35%. And our net debt amounted to 3.1x EBITDA including pension, or 2.3x excluding pensions. As a side note, compared to the former interest rates, our interest payments will be reduced by around €12 million per year. The cash interest savings between the convertible bond interest rate of 4.24% and the reference interest rate of 1.54% for a straight bond issuance will be around €5.2 million per year, which makes this convertible bond quite attractive to us. In summary, we continue to deliver well according to our short as well as our long-term guidance. And with this, I would like to hand back to Heinz-Jurgen Bertram for some comments on the strategy.
Heinz-Jurgen Bertram: Thank you, Olaf. Let us now turn to our strategic growth initiative and the outlook. Chart 17 is dedicated to our most recent acquisition, Cobell. Cobell is a leading and a fast-growing supplier for natural ingredients and juice components in the U.K. with annual sales of €58 million. The company had established a close relations to its customers on which we can build, extending our existing platform. Cobell’s application and manufacturing capacities will complement our strong portfolio of natural flavors. The blueprint is our proven business model in beverages in Germany. At our sites in Nordlingen and Braunschweig, we combine the juicy blends with our flavor know- how. Cobell is a smart investment that will make us driving force in the market segment. Both parties are very confident regarding the strategic rationale and the fit of our business models. The sale of Cobell was not public but offered to us directly and as such, a great opportunity. Let us move to our second selected growth initiative on Chart 18, the expansion of our presence in Asia. As you know, Asia is an important growth market for us. That is why we are heavily investing and expanding our footprint in this region. In May, we concluded the first expansion phase of our regional center in Singapore. We invested more than SGD 13 million in our pilot innovation and technology center on an overall aim, leveraging and expanding our potential with regional and local food manufacturers. We have concluded the first investment phase for Flavor & Nutrition in Singapore successfully. The next step, we will expand our Scent & Care capabilities. On the right side, and no less important, a few points on our strategic initiatives in Mumbai. This one aims at strengthening our relationships with clients and consumers in India. Here, we invested in a development studio and labs for fragrance, cosmetic ingredients and oral care. The new creative center is opened in June. It complements our already existing center in Chennai, and it will enable us to further benefit from the dynamic evolvement of the Indian economy. The last initiative I would like to mention today is our new Nutrition site in Georgia in the U. S. See Chart 19. As you’ve seen in our half year results, we are experiencing a great dynamic in our Nutrition segment, especially in the U.S. To meet the increasing demand, we are further investing in our capacities. This is where we will spend €15 million on the construction of a new 40-hectare Nutrition site for Diana Food. This site is scheduled to be fully operational in 2019, and it will enable us to manufacture natural and declaration-free food ingredients and product solutions in the region. Let me close with our outlook on Chart 20. The first half year is the result of successful and consequent implementation of our strategy. We have invested in our competencies and market presence. We recorded accelerated growth, in particular, in the emerging markets. We further diversified our leading product portfolio, and we invested in further capacity expansion, all signs for a good and dynamic second half. Please turn to Chart 21. We’ve increased our outlook for the full year EBITDA margin. Following our successful first 6 months and a good start in the third quarter, we remain optimistic for the rest of the year. We expect good and – demand and growth dynamic in all our segments and regions. Against this background, and in view of our recent strategic initiatives, we now expect our EBITDA margin for the full year to come in at above 20%. The rest of our outlook for the full year and for the midterm remains unchanged. With this many change, many thanks, and we look forward to your questions. Tobias?
Tobias Erfurth: Thank you very much, gentlemen. Turning to Q&A, we are now happy to take and answer your questions. [Operator Instructions] Many thanks, and first question please.
Operator: The first question comes from a line of Daniel Buchta with MainFirst Bank. Please go ahead.
Daniel Buchta: Yes. Thank you very much for taking my question. The first one is on Scent & Care, the margin side. Here, here we are seeing, if you take out the Pinova one-offs last year, more than 200 basis points margin dilution. If we include Pinova, the margins are still down by more than 50 bps. Can you just quickly mention again the reasons? Is it just the weaker operational performance? Or are there any margin pressures from the client side? And the second one, and you mentioned it, the positive free cash flow development despite higher CapEx. Can you mention the measures you have taken? And is this now more a focus for Symrise, the cash generation compared to last year’s, where the focus was already on strong growth and initiatives there? These are the 2 thank you very much.
Heinz-Jurgen Bertram: Thank you, Daniel, for the questions. First, on Scent & Care. The margin dilution, if you – one major point for this was, as we mentioned that in fragrance, we made a lot of new core lists. We had a lot of new opportunities. And in anticipation of all these opportunities, we have increased significantly our investment. And if you look in our income statement, you will find it a strong increase in research. And these measures show the confidence we have in that segment. I think that’s a sign. Despite some challenges in the one or the other business unit, which I have highlighted, we have all the confidence. And I believe we have stressed this during this analyst call. And if you look in our income segment, you will see a confirmation. R&D expenses went quite up in particular in Scent & Care as a consequence of this. Second question?
Daniel Buchta: Second question. Quickly to follow up, so we can expect it become better again in the second half?
Heinz-Jurgen Bertram: Yes
Daniel Buchta: Entering to call list okay.
Heinz-Jurgen Bertram: Yes. Second question, positive free cash flow. Well, first of all, a year ago, most of you complained about our cash flow, and we promised we will focus on it, and we’ll get better. And we just delivered. Well, we worked – we focused on working capital management. So I believe our CFO has done a great job here. And of course, also some lower tax rate, but main focus was on working capital improvement. And you see the results. I think they speak a clear language.
Daniel Buchta: Great thank you very much.
Heinz-Jurgen Bertram: You’re welcome.
Operator: The next question comes from the line of Thomas Swoboda with Societe Generale. Please go ahead.
Thomas Swoboda: Yes. Good Morning gentlemen. I think I need a stage name for this a work on that, two questions for me. First, on Scent & Care. Within your guidance of more than, again, 20% EBITDA now, do you expect Scent & Care to meet this guidance as well? Or should we be rather prepared for margin for the full year below 20%, despite the improvement in the second half? And the second on currencies. In your region guidance, you say as a precondition to the guidance you gave that currencies do not change materially versus previous year. So the dollar is now significantly up. Could you share with us what kind of exchange rate you have baked in? And if I can sneak in and add one question. What is your current U.S. dollar sensitivity, please? Thank you.
Heinz-Jurgen Bertram: Okay. Thanks for the three questions. So let me focus on the first one, and Olaf is more than happy to answer the second and the third question. Scent & Care, we believe we will achieve the 20% EBITDA margin for second – Scent & Care. And the business outlook, which we gave for Scent & Care, I think is very optimistic, so we have no reasons not to believe it. The only disclaimer I will like to make, and but that’s – last year, as you may recall, we had terrible hurricane season in the U.S., which has caused us quite some unforeseen money weak – we would not expect that, that will occur each year. That was an exception. Back to your question. If this does not happen, there’s no reason not to believe that Scent & Care will develop healthy in the second half of the year. All signs, which we see at the moment, point in that direction, okay? Olaf, you take the other 2 questions.
Olaf Klinger: Yes, Thomas, good morning and I don’t think you need a stage name. We know you well. So from an FX guidance perspective, yes, we have seen a severe development with the euro strengthening. What we expect for the second half is that the top line tailwind we experienced in the first half of 4.7% will turn around and will move into a slight headwind again, as we have discovered it last year. This should, overall, not influence us and not the guidance so severely that we move this away. When it comes to the U.S. dollar sensitivity, you know us for quite some time. We have a very well- balanced business model, and the natural hedge environment is fully intact. We have, very often, the cost base close to where the turnover is, and that gives us comfort that the impact on the EBITDA line will be not dramatically, even if we see the current level continuing for the rest of the year. Having said that, however, we had some impact in the first – no, in the second quarter coming from the severe euro strengthening. And that’s related to transactions. The net exposure from receivables and payables was and is not always fully hedged. And we saw an impact on our gross profit of around [Technical Difficulty].
Operator: Your line was muted for an instant.
Olaf Klinger: Not on our ends so we.
Operator: Okay. Let’s continue sorry to interrupt.
Olaf Klinger: So what I’m saying is we had an impact on the second quarter impacting our gross profit and, therefore, also the margin situation of the three segments. I hope that explains a little bit the FX exposure we cover at the moment.
Thomas Swoboda: Okay, thank you.
Olaf Klinger: Welcome.
Operator: The next question comes from the line of Thomas Wrigglesworth with Citi. Please go ahead.
Thomas Wrigglesworth: Thank you, very much. Apologies if my line cut out there in your answer to the last question. So forgive me if I end up causing repetition. Be very interested to understand also your organic growth by division. What was price and what was volume effect runnings through there? And then secondly, obviously, your upgraded outlook. It doesn’t seem like anything’s changed in what you’re telling us about the second half outlook. So I’m wondering, is there something – some risk that you’ve averted in the first half maybe with regards to raw materials that you’re – that now makes you more comfortable in this margin outlook. If you could just explain maybe what’s happened in the first half that’s better than you’d anticipate to upgrade that outlook? Thank you.
Olaf Klinger: So on the organic growth, Thomas, the price volume question. What we see is that around 1/4 is price related and 3/4 for the group is volume related. It’s a pretty heterogeneous picture across the group and by segments. For Flavors, it’s more 50% price, 50% volume. For our Nutrition business, it’s similar to the group, so 1/4 price and 3/4 volume. And for the Scent & Care business, it’s all about volume at the moment and not price. So different views, environments we are facing in the three segments, which we are running. Again, from a portfolio perspective, it helps us to balance out the elements. What I can also say is that on the raw materials side, it comes naturally from the natural raw materials, not so much from the oil-based raw materials that we see increases. And we can manage these raw material price increases quite well and pass them on as in the past to our customers. So that doesn’t drive the outlook. I think what we are confirming here is really that we are optimistic for the rest of the year that we will continue to see our organic growth propelling. And for that reason, we saw clearly an indicator that this is the right time to increase our guidance for the rest of the year.
Thomas Wrigglesworth: Okay, thank you, very much for it.
Olaf Klinger: Welcome.
Operator: The next question comes from the line of Gunther Zechmann with Bernstein. Please go ahead.
Gunther Zechmann: Hi, good morning. Thanks for taking my questions. On raw materials again, you mentioned the unchanged 3% to 4% cost inflation this year. Is that in dollar or in euro terms? And also, one B question is that, can you give an update on any change in trends that you’ve seen since you upped the guidance with the previous quarter results?
Olaf Klinger: So the raw material guidance is in euro, as we have all our figures in euro and that’s our recording environment. You should take that as the euro environment. You want to comment on the guidance?
Heinz-Jurgen Bertram:
(33:23):
Gunther Zechmann: Okay. And if I can just follow up on the natural raw materials. Is that still the same raw mats going up as you’ve seen with Q1? Or are there any offsetting factors?
Heinz-Jurgen Bertram: No, it’s no major change. No major change. And actually, if you have been with our calls in the past, we always have mentioned that for several quarters, the industry has enjoyed some unusual tailwind because raw material prices were going down. And we have always said this will, from a certain point on, end this tailwind, and we will face another environment. And obviously, this is changing slowly, but you see us being far away from being concerned. We managed this. We have prepared our company. We have the broadest range of portfolio of different applications, and we have good backward integration, which now will pay off.
Gunther Zechmann: Very clear, thank you.
Operator: The next question comes from the line of Patrick Lambert with Raymond James. Please go head.
Patrick Lambert: Hi, good morning everybody. Thanks for taking my question. The first one is regarding actually Cobell’s. Can you confirm that you actually closed the transaction in July as expected? And secondly, any guidance still on the financial impacts, meaning the margins dilution? I suppose it’s a blending business, which you have EBITDA lower margin than the typical scent and Nutrition business and also, in terms of price paid, if you could do that. And second, again, on Scent & Care margins. Could you help us just on – if you could disclose the Pinova margins. You used to do that. Just the reminding of Pinova inside Symrise, what type of margin we saw in H1 2017? Just to gauge the underlying business of Symrise.
Heinz-Jurgen Bertram: Thanks, Patrick. You don't have to apologize. These are legitimate questions. So let me try and answer. First, Cobell, yes, closed as expected. Yes, we could have closed it a few weeks before, but Olaf and the financial group say, "We are doing the financial consolidation. Don't mess all this up." That was we were, and I think it came clearly out from what I said. We were in agreement with the seller anyway. So we had some flexibility, and we had a clear understanding upfront that we are the ideal new partner, and so there was some flexibility. It was closed as expected. The margin, yes, the margin of Cobell is slightly below – or is below our normal Flavor and Fragrance business. But I – but we highlighted that we know this kind of business. We've exactly this business in Germany, and there, it pays very well off to also cross fertilize through the Flavor business. And this know-how, we will transplant on Cobell. And as we're speaking, the margin is below the rest but we will bring it up pretty soon, and we have a clear plan how to go forward based on our good understanding of this type of business, which we have in Germany. So basically, this is just a copy and paste in the British market. That's why we are confident. The price, we agreed with the seller not to tell the number. But if you look to our numbers, you will see it was a pretty favorable condition. And it will, as with me as well, put a smile on your face, okay? So if you go find them. The last one, Pinova. Yes, Pinova, another point also originally margin diluting, as we clearly said when we bought it. We said we will need three years to fully bring it to the margin level of the rest of the business. We have, anyway, done this acquisition. They're coming from a strategic rationale. It brought us to the number one fragrance ingredients supplier position in the industry. And in an environment where backward integration and full ownership of all the products and the ingredients in there is important, it was a key opportunity for us. We have clearly said that the margin of Pinova was 10% or slightly beyond – above 10% when we bought it. And we continue to see improvements, as we said, about 2% to 3% per year. And there is no reason for us to move away from this. So yes, at the point – in this point, Pinova margin is still a bit below the margins of the rest of the business, but we have no reasons not to believe that it makes sense. And you see from all the core lists, which we made, the strategic rationale of the Pinova acquisition has already paid off, because that is one thing, which is strongly [indiscernible] for being confident for new core lists, okay? I hope that answers your question.
Q – Patrick Lambert: That’s great. Thank you, Heinz.
Heinz-Jurgen Bertram: You’re welcome.
Operator: The next question comes from the line of Geoff Haire with UBS. Please go ahead.
Geoff Haire: I wonder if we could possibly look forward a little bit into the next year? I mean, what you're expecting from raw material pricing? [indiscernible] from some of the natural products? I'm assuming you already started negotiating on vanilla price, particularly. Give us some thoughts on that.
Heinz-Jurgen Bertram: Yes, a reasonable question. So vanilla prices, I don't think they can go any higher than as – what we are at the present. Good point on that. However, again, backward integration pays off. So it is a challenging environment, talking about vanilla and [Technical Difficulty] But if you want to be in one position in this environment – in this market, then it's probably mine. So with our position on being on Madagascar, being locally present and producing locally, that, in this challenging environment, is a good spot. Shows again the benefit of the good backward integration. However – so vanilla prices will not go up any higher anymore, I believe, as that would then trigger a shift in raw material basis or something like that. Overall, in natural materials, I expect a continuation for the raw materials prices from – based on natural raw materials, the main part, not from the Pinova resources. I think we have already made – secured most of the materials. That is stable, if at all, slightly increasing. But other natural raw materials, we will continue to see a continuation of the price increases, which we have seen so far. On the other side, on the mineral oil basis, we don't expect a major change to that. Overall, I think that we do not see a situation where you would be too concerned coming from the raw materials side. We believe the whole situation will be manageable. As I said in the beginning, what has changed is the tailwind, which many of our competitors and people and country – participants in the industry got used to, that is going away and we get back to a situation, which I would say is a bit more normal, okay?
Geoff Haire: Okay. Thank you.
Operator: The next question comes from the line of Andreas von Arx with Baader-Helvea. Please go ahead.
Andreas von Arx: I have a question, but you went on mute when you were mentioning the transaction impact for the first half. If you could repeat that one, please? And then my two questions. So the first one will be, could you provide us with an update on your UV filter business, adjusting for the bigger topic at the first quarter call? And there, you said you would look at potential turnaround or exit trends. And the second question would be, if you – even in light of a lot of competitors, are thinking about efficiency or restructuring measures, like Givaudan [indiscernible] on the business solutions, whether you would do something similar. And more specifically, I mean, I'm thinking here about moving to a regional shared services center for back offices or maybe moving some of your back-office staff in Holzminden to maybe some lower-level-cost regions? Thank you.
Heinz-Jurgen Bertram: Okay, I would say I pick this last one, the Givaudan question, and I pick the sunscreen filter thing. So first, as you have seen from what we said, we have the opportunity for continuous strong organic growth. And that is what we focus on with all our efforts. And we want to capture the opportunities, which are offered in organic growth. Beyond that, we continuously work on improving efficiency. We continuously work on process improvements. And some of it, you've seen today. Just look at the cash flow, which puts a smile on the one or the other's face. So we do that. But a business solution, like Givaudan has advised, is not in our mind at present. Talking about sunscreen filters, I think it came across a bit dramatic and in fall – in spring, when I mentioned it. Bear in mind, all business units did well. And there was the question, isn't there something where you want to – where you see some rooms for improvement. And I say, "Okay, in that sense, sunscreen filter, there is room for improvement." And still there is, although we have already seen some improvement in that business. Then rest assured, there is never an idea to exit that business. Bear in mind, we're number 1 globally in this business. We have strong synergies to other segments like Cosmetic Ingredients and Fragrance. There's no reason not – to exit. We do our homework, as we have done it with the cash flow. And all signs are on green that we're able to fix it. I hope that was clear. And Olaf, you want to pick the other?
Olaf Klinger: Yes, Andreas, I'd take first one on the transaction or FX impact. Definitely, we didn't go on mute on purpose because it's an important information. So the impact in the second quarter was €6 million across the 3 segments, and it came out of the net exposure from accounts receivable and accounts payable. Just the difference between timing, booking and payment, that caused this impact, which I highlighted and which you should take into consideration when analyzing our margin situation.
Andreas von Arx: But the UV filter business, that's still in decline also in the second quarter.
Heinz-Jurgen Bertram: What? It is not in decline. It has stabilized and slightly increasing. It is – well, as you see, all other business units are performing, in particular, look at Nutrition or whatever. UV still has – so the business, is not increasing in that sense, but it is a very – it is increasing and it will continue to do so.
Andreas von Arx: Thank you very much.
Heinz-Jurgen Bertram: You’re welcome.
Operator: The next question comes from the line of Chetan Udeshi with JPMorgan. Please go ahead. Excuse me. The line just dropped. We will continue with the next person, with Liz Coen with Davy. Please go ahead.
Liz Coen: Good morning, thank you for taking my question. So just 2 questions for me. So the very strong organic growth rates in both Flavor and Nutrition in Q2, if you could give us some guidance in terms of are you expecting these to kind of continue at the same level in H2? And secondly, just in terms of your capacity expansion in the U.S. at Diana Food, I just wasn't quite sure, has this already started? And had you incurred cost already in 2017? Thank you.
Heinz-Jurgen Bertram: Liz, thanks for putting the questions. First, yes, it is strong organic growth in Flavor and in Nutrition. It will continue to be very strong. Bear in mind, when we bought Diana, that was the best opportunity in our industry. And when we highlighted on what we want to do with this, many of you were disappointed from the bottom line synergies. And we said the focus will be on leveraging the top line synergies because both divisions, Flavor and Nutrition together, can be more than they can be on their own. And you see this momentum really to fully kick in, so we have a lot of these cross-divisional opportunities, which bring us in a unique value proposition for many customers. And this is what pays off, and this is one of the big drivers for the strong organic growth. The expansion of Diana, you see this is the first phase, actually, of the thing. And it's a significant investment, €50 million and 40 hectares. So this is not small stuff. We have some plans. And the first investment came already in, so in the low single-digit million, we will see for this year. So to be precise, we have secured land. We are preparing the land for digging, so next year, we will continue with building. And from what I said, you see this is very ambitious building and plan, but with the dynamics and the momentum we have in the Diana business, we would be foolish not to leverage on these opportunities, okay?
Liz Coen: Okay, thank you.
Heinz-Jurgen Bertram: Okay, then with that, ladies and gentlemen, this concludes our today's call. Thank you in your time and questions. In case you have any further questions following this call, please feel free to contact Tobias and [indiscernible]. I look forward to talking to you soon. Have a good summer.
Operator: Ladies and gentlemen, the conference has now concluded, and you may disconnect your telephone. Thank you for joining, and have a pleasant day. Goodbye.